Operator:
John Seazholtz:
Bernie Sergesketter:
Amy Forster: Thank you, Bernie. Westell reported a net loss for the first quarter of fiscal 2009, of $5.5 million or $0.08 per diluted share compared to a net loss of $916,000 or $0.01 per diluted share for the first quarter of last year. Total revenue from continued operations for the June 2008 quarter was $38.1 million compared to $44.2 million in the last quarter and $58.4 million in the first quarter of last year. These numbers exclude revenue from our subsidiary Westell Limited which is shown as "discontinued operations" in our financial statements. Revenue by product line for the June quarter compared to the March quarter were as follows. Customer networking equipment revenue decreased 37% to $10.7 million from $16.9 million. Outside plant equipment revenue increased 13% to $14.9 million from $13.2 million and Conferencing Services revenue decreased 11% to $12.5 million from $14.1 million. The majority of the revenue decline was in our CNE products which declined $6.2 million from last quarter and $20.4 million from the same quarter of last year. The current quarter decline compared to last quarter resulted primarily from a decrease in units of legacy products sold to Verizon. Also, revenue in the first quarter of fiscal 2008 included sales to BellSouth which we did not have in the first quarter of fiscal 2009.We expect CNE revenue to grow in fiscal year 2009 as we start to ship the UltraLine Series3 Gateway to Verizon and ProLine modems to AT&T. We have initial orders of UltraLine Series3 representing over $20 million of revenue and we expect to receive more orders in the short-term for delivery in the current year. While these shipments are expected to commence in the current quarter, the revenue recognition will be deferred until those unit are installed at end customer sites which is expected in our third fiscal quarter. The first quarter ConferencePlus revenue decline was due primarily to the loss of revenue of its second largest customer. We anticipate revenue will decline an additional 13% in the current quarter due to this decline combined with seasonality as European and other countries vacation in the month of August. The Company took actions in July to reduce and align costs at ConferencePlus as a result of this lower revenue that resulted in the termination of approximately 23 employees. The equipment segment gross margin from continuing operations in the quarter was 28% compared to 17% in the prior quarter and 25% in the June 2007 quarter. The increase from last quarter was due primarily to excess and obsolete inventory expensed in the prior quarter and more efficient overhead absorption as well as a higher mix of OSP product in the current quarter. We expect equipment margin in the second quarter to be in the high 20's. Service segment gross margin was 45% in the current quarter and 48% in the prior quarter and 50% in the first quarter of last year. The decline in the current quarter is due primarily to lower revenue. We expect service margin to be in the high 40's for the second quarter. Operating expenses for the current and last quarter were $18 million excluding restructuring Westell Limited and goodwill impairment expense. Operating expenses for the second quarter are expected to be $20 million and include $670,000 of severance expense and $800,000 of non-cash, stock-based compensation expense resulting from the immediate vesting of restricted stock to our former CEO. Some other important points of interest for the quarter are as follows. Just prior to the quarterly blackout the Company announced a $10 million share buyback program and purchased 29,000 shares under this program in the fourth quarter of fiscal 2008. The Company has been unable to purchase their shares since then due to an event-specific blackout imposed related to the ConferencePlus sale process and now, due to the quarterly blackout. We intend to commence buying again on Monday when the blackout period ends. Cash and short-term investments excluding Contineo cash at the end of June was $59 million compared to a balance in March of $66 million. The decrease in the current quarter was due primarily to the payment of year-end bonuses, accrued severance and the distribution of a former CEO's deferred compensation. Capital expenditures for the quarter were $1.2 million, non-cash items include depreciation expense of $1 million and tangible asset amortization of $460,000, and stock-based compensation expense of $375,000. And Verizon represented 31% of revenue for the quarter and AT&T was 16%. I will conclude my remarks with a discussion of our guidance for the second quarter ending September 30th, 2008. We expect revenue for the second quarter to be in a range of $37 million to $39 million and we expect to incur a loss within a range of $0.10 to $0.11 per share with a full valuation allowance recorded on tax benefits generated in the period. As a reminder, although we will start shipping our new UltraLine Series3 product in the current quarter, we will not recognize revenue on these shipments until all revenue recognition criteria are met. I will now open the floor to questions.
Operator:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Bernie Sergesketter:
Brian Powers:
Carter Driscoll - CD Capital Partners:
Brian Powers:
Carter Driscoll - CD Capital Partners:
Brian Powers:
Carter Driscoll - CD Capital Partners:
Bernie Sergesketter:
Tim Reedy:
Carter Driscoll - CD Capital Partners:
Tim Reedy:
Carter Driscoll - CD Capital Partners:
Tim Reedy:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Tim Pillow:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Operator:
Todd Koffman - Raymond James & Associates, Inc.:
Amy Forster:
Todd Koffman - Raymond James:
& Associates, Inc.:
Amy Forster:
Todd Koffman - Raymond James:
& Associates, Inc.:
Bernie Sergesketter:
Tim Pillow:
Todd Koffman - Raymond James:
& Associates, Inc.:
Tim Pillow:
Todd Koffman - Raymond James:
& Associates, Inc.:
Tim Pillow:
Operator:
David Weissman - Zacks Investment Research , Inc.:
Amy Forster:
David Weissman - Zacks Investment Research, Inc.:
Amy Forster:
David Weissman - Zacks Investment Research, Inc.:
Amy Forster:
David Weissman - Zacks Investment Research, Inc.:
Amy Forster:
David Weissman - Zacks Investment Research, Inc.:
Operator:
Brad Evans – Heartland Group Inc.:
Amy Forster:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Brad Evans - Heartland:
Group Inc.:
Bernie Sergesketter:
Operator:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Amy Forster:
Carter Driscoll - CD Capital Partners:
Bernie Sergesketter:
Operator:
Mohammed Ahmad - Beeham Capital Management:
Bernie Sergesketter:
Tim Reedy:
Mohammed Ahmad - Beeham Capital Management:
Amy Forster:
Mohammed Ahmad - Beeham Capital Management:
Amy Forster:
Mohammed Ahmad - Beeham Capital Management:
Bernie Sergesketter:
John Seazholtz:
Mohammed Ahmad - Beeham Capital Management:
John Seazholtz:
Mohammed Ahmad - Beeham Capital Management:
John Seazholtz:
Bernie Sergesketter:
John Seazholtz:
Mohammed Ahmad - Beeham Capital Management:
Bernie Sergesketter:
Operator:
Todd Koffman - Raymond James & Associates, Inc.:
Bernie Sergesketter:
Tim Reedy:
Todd Koffman - Raymond James & Associates, Inc.:
Operator:
Bernie Sergesketter: Well, thank you everyone for joining us and as I mentioned before we will have a webcast at our Annual Meeting on September 18th. Thank you very much.